Operator: Hello, and welcome to today's Clarivate Q4 and Full Year Earnings Conference Call. My name is Bailey, and I'll be the moderator for today's call. [Operator Instructions]. I would now like to pass the conference over to Mark Donohue, Vice President of Investor Relations. Please go ahead.
Mark Donohue: Thank you, and good morning, everyone. Thank you for joining us for the Clarivate Fourth Quarter and Full Year 2022 Earnings Conference Call. With me today are Jonathan Gear, Chief Executive Officer; and Jonathan Collins, Chief Financial Officer. Both will be available to take your questions at the conclusion of their prepared remarks.  As a reminder, this conference call is being recorded and webcast and is copyrighted property of Clarivate. Any rebroadcast of this information in whole or in part without prior written consent of Clarivate is prohibited. An accompanying earnings call presentation is available in the Investor Relations section of the company's website, clarivate.com.  During our call, we may make certain forward-looking statements within the meaning of the applicable securities laws. Such forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements of the business or developments in Clarivate's industry to differ materially from the anticipated results, performance, achievements or developments expressed or implied by such forward-looking statements. Information about the factors that could cause actual results to differ materially from anticipated results or performance can be found in Clarivate's filings with the SEC and on the company's website.  Our discussion will include non-GAAP measures or adjusted numbers, including organic revenue and adjusted EBITDA. Clarivate believes non-GAAP results are useful in order to enhance an understanding of our ongoing operating performance, but they are a supplement to and should not be considered in isolation from or as a substitute for GAAP financial measures. Reconciliation of these measures to GAAP measures are available in our earnings release and supplemental presentation on our website.  After our prepared remarks, we'll open the call up to your questions. And with that, it's a pleasure to turn the call over to Jonathan Gear.
Jonathan Gear: Great. Thank you, Mark, and good morning, everyone, and thank you for joining us today. In my 6 months as CEO of Clarivate, I have made it a point to personally visit many of our colleagues and customers globally. These learnings have given me an even deeper appreciation of our company, its strong culture and Clarivate's leading products in the large markets that we serve. We will hold an Investor Day next Thursday, where we look forward to sharing with you our compelling investment thesis and our detailed plan to accelerate our growth profile. I will share more about this event in a few minutes.  Turning to our financial results and business highlights for 2022. I want to give you an update on our progress in continuing to transform Clarivate for the better as we seek to accelerate our growth and bridge the market trajectory. I am proud to report that we implemented important organizational changes through segment restructuring of our major segments. The past 1 year was also a trying period as we navigated a highly dynamic macro environment marked by high inflation and economic uncertainty.  Despite these headwinds, our business grew and remained strong and resilient. We continue to serve our customers well by providing mission-critical products, and we are benefiting from long-term industry tailwinds all while holding a strong competitive position in the marketplace.  Last year, we delivered improved performance across many of our key financial metrics. Full year revenue was $2.66 billion, an increase of 47% at constant currency, primarily driven by the acquisition of ProQuest. Organic revenue growth increased 2.6%. Our combined subscription and reoccurring revenue, which represented almost 80% of revenue, improved 4% on an organic basis over the prior year period.  Operationally, we delivered $74 million of cost synergies in the first year of the ProQuest integration, $24 million higher than planned. We divested MarkMonitor, a noncore asset. We used the proceeds, along with our normal cash from operations, to reduce our debt by $500 million and lower our net leverage ratio. This places us in a favorable position to deleverage below 4x by the end of the year. Jonathan Collins will cover the financial results in more detail shortly, including our 2023 outlook.  On my first earnings call in November, I shared a new lens of how I look at the business. I highlighted how we are pivoting our operating model and began to report our results across our 3 segments of Academia & Government, Life Sciences & Healthcare and Intellectual Property. This approach is an intuitive way of looking at our business, and this reorganization will help us accelerate decision-making and ensure that we are offering our customers the right set of solutions in each end market.  As we -- as part of the pivot to the new segment operating model, we announced in December that each segment will be led by a President. We are close to finalizing the evaluation of candidates now and expect to have this process completed during the second quarter. I believe having designated leaders overseeing these segments will help us execute on our growth strategy and sharpen our focus on how we best serve our customers.  One of our primary initiatives is to enhance our investments in product development across all of our segments to drive organic growth towards the market growth rates which we highlighted last November. I will highlight some of last year's accomplishments by segment, starting with Academia & Government. Our A&G segment grew organically at 2% in 2022, in line with its prior 3-year CAGR. This past August, we had one of the most exciting A&G software wins ever. Our workflow [indiscernible] unit was selected to implement our integrated library solution tools, Polaris and Vega, across Singapore's nationwide library system. This is one of the largest library workflow software implementations ever. This is a major testament to our product feature strengths, our strong commercial relationships and our robust segment-specific go-to-market capabilities.  Customers have been asking us to help them present the research accomplishment in an easier-to-access format so they can leverage them for their own needs. We responded by launching Web of Science Researcher Profiles, which unites our Web of Science and Publons, our peer review platform. Now all our core research information is available in one central place, providing an opportunity for researchers to showcase their accomplishments on a single page.  To help our librarian end users cut through the noise and choose the right content at the right time for the right price, we developed a cutting-edge procurement marketplace, Rialto. Rialto provides seamless workflows and data-driven recommendations to accelerate and enhance the content procurement process. Encouragingly, Rialto has rapidly gained traction, now reaching over 300 university customers across 24 countries.  Turning now to Life Sciences & Healthcare. This segment delivered 4% organic growth last year, the lowest recent growth rate, primarily due to a pullback in professional services revenue. The growth potential in this end market is highly attractive, and we remain focused on accelerating our growth by continuing to invest in enhanced products and analytics. For example, we delivered a multimillion-dollar customer data integration and analytics platform for a top 5 pharma customer to drive holistic patient journey and needs insights. Combining our proprietary content with the clients and other third-party data into a cloud-based analytics platform enabled a single source of truth across numerous functional teams. This is an excellent example of our ability to deliver value-added strategic services alongside our data with the potential to convert individual projects into multiyear engagements with ongoing recurring revenues.  Last year, we partnered with another top 5 pharma company by empowering digital health initiatives with deep learning AI to expediate disease diagnosis. We are enabling leading pharma companies with AI capabilities to manage their data and better understand the health space and the symptomology of specific patient populations across time. These insights can lead to earlier health interventions, more precisely targeted drug regimens and ultimately, better patient experiences and outcomes, a true value-add for all stakeholders. We are also investing to enhance our AI and machine learning-powered predictive analytics to inform investment decisions and strategic portfolio management for increased R&D productivity, namely as it relates to predicting drug development time lines and success rates.  Moving on to our IP segment, which grew just over 2% on an organic basis in 2022. It was slightly below its 3-year cumulative growth rate of 3%, primarily due to a short-term pullback in trademark services, which we have previously discussed as a result of the macroeconomic environment. During the fourth quarter of 2022, we closed a few multimillion-dollar deals in Japan for a flagship cloud-based IP management software, IPfolio, and related professional services. Although these customers had complex innovation and IP filing requirements, we were able to win these deals given our deep domain expertise, local presence and understanding of regional IP practices.  Last year, we launched Brand Landscape Analyzer to disrupt traditional trademark search. This platform combines rich proprietary Clarivate trademark and litigation data alongside AI-powered analytics to provide a broader picture of the risk landscape surrounding new brands. This is an excellent example of our future in tech-enabled services as we leverage our rich proprietary content, AI and machine learning-powered analytics and deep domain expertise. We have extensive knowledge of the patent and trademark application process, which is helping customers improve and streamline their IP administration process. For example, we were approached by a large pharma company who is looking to outsource their entire IP docketing process. We were able to optimize their costs and create efficiencies within their global IP process.  I look back on 2022 as a pivotal year where we made progress on many fronts and truly set the company up for future achievements. As we turn the page to 2023, we are focusing on reaching a higher level of success. First and foremost, we are focused on delivering organic growth above the 2022 level of 2.6%. We expect the operational changes we made last year and our go-forward execution plan to catalyze this acceleration. The acquisition of ProQuest was an important addition to our A&G segment. Given the progress we have made on the cost synergy front, we are now increasingly shifting our focus to [indiscernible] revenue synergies. Since going public almost 4 years ago, we have removed $300 million of costs, which has provided resources for reinvestment while also improving margins. Reinvestment will remain a focus as we look to drive more product innovation that will ultimately help us to accelerate top line growth.  I believe the single most important and enabler of success and growth is culture. Given the natural cohesiveness of our segments, we continue to implement initiatives to bring our colleagues together to increase collaboration and idea generation.  Last year, we generated more than $300 million of free cash flow, excluding the proceeds from MarkMonitor. This year, we expect to generate close to $0.5 billion in free cash flow, which puts us on track to further reduce our net leverage ratio to under 4x by year-end.  As mentioned, we will host an Investor Day in New York City next Thursday, March 9. The live in-person event will also be streamed live from 9 a.m. Eastern time to approximately noon. We are looking forward to providing a comprehensive look at our business and our detailed strategy to take us where we are today to our medium-term growth outlook.  In closing, I want to extend my continued thanks to all my colleagues at Clarivate for all they are doing to serve our customers and make our organization better. As we enter 2023, I feel confident we are moving in the right direction, and I look forward to sharing our progress with you.  I will now turn the call over to Jonathan Collins.
Jonathan Collins: Thank you, Jonathan. Good morning, everyone. Slide 12 is an overview of our 2022 fourth quarter and full year results compared with the same periods in 2021. Fourth quarter revenue was $675 million, an increase of $115 million compared to the same period last year, driven primarily by inorganic growth from the ProQuest acquisition as well as a 0.5% organic growth, both of which were partially offset by a substantial foreign exchange translation headwind as the U.S. dollar remained strong against primarily the pound sterling and euro compared to the same period last year. Full year revenue was $2.66 billion, an increase of $783 million for growth of more than 40%.  Fourth quarter net income was $304 million, up $434 million over the same period in the prior year on higher income from operations and lower interest and income tax expenses. Full year loss of $4 billion is entirely attributed to the noncash goodwill impairment charges recorded in the third quarter, primarily for the CPA Global and ProQuest acquisitions.  Adjusted diluted EPS, which excludes the impact of onetime items like the impairment, was $0.22 in Q4, a $0.02 improvement sequentially over Q3 and a $0.01 decrease over Q4 of last year, bringing the full year to $0.85, a $0.13 or 18% increase over 2021. Operating cash flow was $137 million in the quarter, an increase of $119 million over Q4 of 2021, bringing the full year to $509 million, which is an increase of $185 million over last year.  Turn with me now to Page 13 for a closer look at the drivers of the full year top and bottom line growth over the same period last year. Full year revenue of $2.66 billion came in at the top end of our guidance range. While organic growth came in just above the midpoint of the range at 2.6%, the expected continued strengthening of the U.S. dollar did not materialize, which helped us not only deliver revenue at the high end but also adjusted EBITDA above the high end of the guidance range.  When we look at the full year top and bottom line growth compared to the same period last year, it was driven by 4 key factors: first, organic growth of 2.6% added nearly $50 million to the top line and converted to profit at a 35% margin. Second, inorganic growth contributed $832 million to the top line and more than $0.25 billion to the bottom line for a profit conversion of 30% on a pre-cost synergy basis. This growth is primarily attributed to the ProQuest acquisition.  Third, cost synergies, net of certain operating expenses required to achieve them, contributed $74 million of incremental profit from carryover savings on the CPA acquisition and solid execution on the ProQuest cost actions. Finally, the translation impact of subsidiaries denominated in foreign currencies impacted revenue by nearly $100 million and profit at just over $30 million. The profit conversion is lower than normal as the translation impact was ameliorated by $14 million of transaction gains largely recognized in the fourth quarter.  Please turn with me now to Page 14 to step through the conversion from adjusted EBITDA to free cash. Free cash flow was $91 million in the fourth quarter, an increase of $105 million over last year's fourth quarter and topped $300 million for the full year, which was just over $100 million higher than the full year of 2021. Adjusted free cash flow, which excludes the impact of onetime costs, came in at $522 million, which was near the midpoint of our guidance range as the outperformance on adjusted EBITDA was offset by higher working capital requirements. For the full year, the profit growth I outlined on the prior page was partially offset by higher interest cost from the debt used to fund the ProQuest acquisition, higher cash taxes on the increase in taxable earnings, higher working capital requirements and the increased capital spending largely from the ProQuest business.  Move with me now to Slide 15 as we turn the page on last year and provide our outlook for this year. During our third quarter earnings call in November, we estimated the organic growth rate of our serviceable addressable market of roughly $25 billion today to be approximately 6%. As Jonathan mentioned just a few moments ago, at our Investor Day next week, we will specify the areas of the business that are underperforming the market, outline the specific actions we will take to close these gaps and provide the time line of when we expect to reach the market growth rate.  This morning, we're providing the first step, our organic growth rate guidance for 2023. As we also indicated back in November, we expect organic growth to improve in 2023. We're now dimensioning that improvement from 2.6% last year to about 3.25% this year at the midpoint of our range. Assuming exchange rates remain relatively constant, we expect to deliver revenue at $2.68 billion at the midpoint of the range.  Given the strong comps in the first half of 2022, we do not expect Q1 organic growth to improve sequentially from Q4. We'll provide additional color on the quarterly phasing of organic growth as we move through the year. We do anticipate about a 75% profit conversion on the full year revenue growth of approximately $20 million at the midpoint of both ranges as a result of the carryover impact of the ProQuest cost synergies, which should help drive nearly 50 bps of margin expansion.  Free cash flow is expected to reach $0.5 billion at the midpoint of the range. This represents a nearly $200 million increase over the prior year and is largely driven by significantly lower onetime costs incurred to integrate the acquisitions. Adjusted diluted earnings is expected at $0.80 per share at the midpoint of the range. The $0.05 decrease from last year is attributed in nearly equal parts to higher interest expense as a result of base rate increases affecting our floating rate debt and higher depreciation expense from capital expenditures aimed at accelerating our organic growth in the coming years.  Please turn with me now to Page 16 for the major drivers of the expected revenue and profit growth for the full year compared to last year. Our accelerating organic growth, the divestment of the MarkMonitor business, the carryover impact of the ProQuest cost synergies and foreign exchange will drive this year's expected top and bottom line growth over last year. Organic growth of 3.25% should add about $85 million to the top line and convert at 30%, contributing about $25 million to the bottom line. As we've indicated before, organic growth will need to accelerate to the 4% to 5% range to expand margins from current levels. Jonathan mentioned earlier in his priorities for this year. We're also making the conscious choice to fund investments that will deliver product and service innovation that will catalyze accelerating organic growth to these levels in the near term. We'll go into greater detail on this at our Investor Day next week.  For the first time in our history, inorganic actions will be a year-over-year headwind to our results. We closed on the sale of MarkMonitor in Q4, and this will reduce our revenue by $65 million and adjusted EBITDA by $30 million. The team has executed the integration of the ProQuest acquisition remarkably well, delivering more than half of the cost synergies in the first year. We are in the final stages of completing the integration in the first half of this year. And as a result, we'll deliver $40 million of higher profit in 2023. Over the course of the past few months, the relative strength of the U.S. dollar has receded against the pound sterling and euro. Given current exchange rates, we do not expect a meaningful foreign exchange impact to the top line on a full year basis. However, we do expect a revenue headwind in the first half of the year, but that should be offset by tailwinds in the second half. We also do not expect to repeat the transaction gains we saw late last year, which creates a nearly $15 million profit headwind.  Please turn with me now to Page 17 to walk through how we expect the more than $1.1 billion of adjusted EBITDA will convert to about $0.5 billion of free cash flow. Last year, we incurred more than $200 million in cash outflows associated with onetime costs related to the acquisitions. The majority of this came from restricted cash from the CPA employee benefits trust that was funded at closing of the acquisition back in 2021. We expect a material improvement in onetime cost of about $175 million this year as we incur about $40 million largely to complete the ProQuest integration. We do expect a cash interest increase of about $20 million as current base rates and projections via the forward curve have increased meaningfully compared to last year. As a reminder, through deleveraging and derivatives, we reduced our floating rate debt from just under 1/2 to about 1/4 of our total debt, significantly reducing our exposure to further rate increases.  Our working capital requirements are expected to level off this year, yielding an improvement of about $65 million, augmenting the profit growth and lower onetime costs partially offsetting by the cash interest increase, leading to an operating cash flow improvement of about $230 million. We do intend to increase capital spending by about $35 million to accelerate organic growth. All of this translates to a nearly $200 million improvement in free cash flow at the midpoint of the range.  Turn with me now to Page 18 for an update on our capital structure and our plans for allocating the cash flow we expect to generate this year. As we've consistently indicated for the past couple of quarters, we plan to use the majority of our cash flow in the near term to reduce our debt. We paid down $0.5 billion of debt in the second half of last year by utilizing operating cash flow and the proceeds from the MarkMonitor divestiture. This lowered our debt balance to just over $5 billion and brought our net leverage to just over 4 turns at year-end.  As we turn to 2023, we will continue to service our preferred shares with a cash dividend of about $75 million for the full year. We expect to utilize the remainder of our free cash flow, more than $400 million, to pay down floating rate debt in the form of our term loan B and expect to bring leverage below 4 turns before the end of the year. This deleveraging will further improve our debt mix to about 80-20 by the end of this year, which will reduce our exposure to rising rates, increasing the probability our total cost of debt will remain in the mid-5% range for the near future. It's also important to note that we maintain more than $1 billion of liquidity at year-end and have no debt maturities or mandatory prepayments for the next 3 years.  Please turn with me now to Page 19 to put our guidance for this year in historical perspective. Since the company's inception 4 years ago, revenues have nearly tripled as we built scale and end-to-end capabilities in all 3 of our segments through 3 transitional acquisitions. Profit has nearly quadrupled, bolstered by $300 million of cost synergies that drove margin expansion of 1,200 basis points. And critically, most of the integration work for these transformational acquisitions is now behind us, which supports a significant improvement in cash flows moving forward.  Through this period, organic growth has durably remained at about 3% despite a global pandemic. However, we need to drive our organic growth rate higher to reach and eventually exceed that of our SAM. We know we have a few key product areas that are underperforming. But with the right execution and product innovation, we will be able to close the growth rate gap as we shift our operational focus and financial resources from delivering efficiencies to accelerating growth. Please join us next week in person at the New York Stock Exchange or virtually as we outline in detail the steps we will take to accelerate growth and unlock significant value for shareholders in the process.  I want to thank all of you for listening in this morning, and I'll now turn the call back over to Bailey so we can take your questions.
Operator: [Operator Instructions]. Our first question today comes from the line of Manav Patnaik from Barclays.
Unidentified Analyst: This is on for Manav. I just wanted to ask on the guidance. Obviously, there's been some -- there's a lot of transactional kind of exposure in different parts of your business that hit you guys this past year. And just wondering like what are you assuming in that outlook for next year for that part of the business? And then kind of back into also the subscription part, just trying to see how much of that is helping or hurting you guys next year.
Jonathan Gear: Yes. , thanks for the question. This is Jonathan Gear. I'll answer, and then Collins will add some color here. I mean, first, we -- there are different philosophies of how you build out our budget. With this year, we've gone through a very granular, bottoms-up build on this budget under the new segment strategy at a product-by-product level. And it's one that certainly myself, Jonathan Collins and the team have put a lot of fidelity into building up this plan. So the guidance we've raised right now, I'd say, overall thematically, it's not a heroic guidance. It just has us executing against the outcomes we saw coming out of Q4 and then heading through the year.  Now on the transactional side, you know the base of our business. 80% is recurring in nature. 20% is transactional. A couple of things I would call out. First, some real-world data wins that we had in Q4 rather than being completely onetime as we built up some backlog heading into this year. So we've derisked some of the RWD assumptions heading into 2023. And then with the rest of the portfolio, it's the normal kind of risk, I would say, around the transactions, primarily in Life Sciences & Healthcare. We see less of a risk in the other segments. But certainly, I think the key theme is we haven't built up a bottoms-up build in the budget that requires a lot of positive assumptions to take place. We know we're in a tough environment. We know we're in a tough macro. We know that some of our clients are not leaning into onetime spends right now. They're being cautious, and all that's been built into our budget. But Jonathan, do you want to add to that?
Jonathan Collins: Yes. I'd just highlight that the improvement in the organic growth will largely come from the transactional order type. So when you think about the things that will help accelerate the growth rate, obviously, not having the ceasing of our operations in Russia will offer some benefit. That will benefit the subscription order type. There are some other puts and takes there. But as we've highlighted before, we've rebuilt capacity in 2022 in our Life Sciences & Healthcare consulting practice. We expect the utilization rates in that practice to progressively improve through the year, and that will hit our transactional order type.  And then as Jonathan touched on, one of the real benefits of last year's sales execution campaign with our real-world evidence in Life Science & Healthcare is building a backlog. So last year, almost everything that we recognized as revenue we sold in the year. This year, we come in with a very nice proportion of this year's revenue already sold that has to be delivered in 2023. So that helps to derisk and reduce the volatility in that segment of the business.
Unidentified Analyst: Yes. Just a quick follow-up, if you could. You talked a little bit about what -- with your reinvestments, just some product investments you need to do or low-hanging fruit investments you can do to help move your product down market and win some more share. Can you -- any update on that? I assume you guys are still working on that but just if there's any update on the product side.
Jonathan Collins: Yes. I'm going to make a brief comment here, Brendan. So the investments we're making are across all 3 of our segments. If you remember, coming out of the last call, we talked about investments in Life Sciences & Healthcare around pharmacovigilance and building out that real-world data platform to create more of a recurring, predictable engine. That's -- so both of those are well underway in the product development cycle. We continue to make investments in A&G. past, but I will call out what we've done with Web of Science and the investments we've made there in improving the interface and some of the comments that I made in my -- in the transcript earlier around how we're improving just the usability and impact at the researcher level. And then in IP, very focused on Derwent and those solutions there to, again, lift those products that we know have been dragging us down. So continue to make investments there. And certainly, we'll share more at Investor Day next Thursday.
Operator: The next question today comes from the line of George Tong from Goldman Sachs.
George Tong: You mentioned that the improvement in organic revenue growth for 2023 is going to come primarily from transactional revenue improvement, especially around the consulting side. Can you elaborate a little bit more on that?  And then also on the subscription side, putting Russia aside, what are some of the key drivers of organic revenue growth acceleration for subscription revenues in the year ahead?
Jonathan Collins: Sure, George. On the transactional side, I mentioned the consulting, also the solid real-world evidence backlog that we bring into this year. I'll also point to our IP segment. We do expect to lap some pretty difficult comps in the first half of this year. And as we move into the second half of next year, we think the trademark portion, both the maintenance and the servicing of trademarks and even some of the discovery, to improve, which will also help to bolster the IP segment's growth improvement.  As we think about the subscription file, what we're counting on is strong retention and starting to monetize some of the investments that we've already made. Jonathan alluded to Web of Science. We're really encouraged by the feedback we got last year from the new UI and some of the feature functionality there. We've expanded the Journal Impact Factor to include thousands of new journals. And then finally, we just announced the Preprint Citation Index that's going to be included in the product this year. We're already getting early great feedback on that addition.  So those are examples of investments that we've made that we hope will continue to firm up renewal rates, help us to be able to capture some of that value in the form of pricing. And those are the things that will help to buoy the subscription performance in 2023.
George Tong: Got it. That's helpful. And then just a quick follow-up. Can you highlight your expectations for 2023 organic revenue growth by segment, so academic and government, Life Sciences & Healthcare and Intellectual Property?
Jonathan Collins: Yes. We certainly expect a modest improvement in A&G. Web of Science, which I just highlighted, is going to be a key component there. On the IP side, we do expect some improvement in the trademark portion of business that I highlighted. But really, much of the improvement next year is going to come in Life Science & Healthcare as we continue to see the recovery in the consulting practice that I highlighted as well as stronger execution compared to a pretty challenging last year in portions of our transactional business in that segment.
Operator: The next question today comes from the line of Toni Kaplan from Morgan Stanley.
Toni Kaplan: Jonathan, in the past, you've talked about thinking of this as a mid-single-digit growth business. Has your view on that changed? I know this year had some onetime issues, and I appreciate '23 sort of providing more conservative guidance. But just wanted to see if anything has really changed in your mind on the growth profile.
Jonathan Gear: Thanks, Toni. No, it has not changed at all. This is still a business -- as we peel back and I've gotten to know the businesses much, much better at the customer level and the product level, this is a business which should be growing at mid-single digits. And I think as we view 2023 as a bridge here to help us get us there and head down that path, and certainly at Investor Day, Toni, we'll be sharing kind of more on exactly what that path looks like to take us there. But no, my confidence, if anything, is stronger now than it was 2 months ago, the last time we were on this call and talked about it.
Toni Kaplan: Great. And then as a quick follow-up, and I know you talked about Derwent a couple of questions ago, but I just wanted to get an update on sort of how you view your position in the market on some of the legacy products like Web of Science and Derwent. And like basically, I guess, is your investment strategy more to enhance the product capabilities there? Or is it more on the newer sort of investments in platform -- the newer products and platforms?
Jonathan Gear: Sure thing, Toni. So yes, let me go on both those products. I mean, those are both products which are dragging down our growth rate. And that's -- I think I've shared that in previous calls. And as we dug into it, that hasn't changed. Now what's interesting, again, when I talk to clients about Web of Science, and we just visited one of our university clients yesterday, it is still the gold standard. It is absolutely the gold standard and a critical, critical product. What we allow to do over, I will call it the last 10 years, has allowed that product to become frankly a little, some of you use the word dusty, a little dusty in terms of user interface, in terms of not leveraging analytics. And so we allowed that to happen. I will call that very much an own goal. So we're focused right now on making investments since the initial phase was around the interface and the usability of Web of Science.  The second thing as we look forward is to how to leverage the underlying content in Web of Science and the impact that has in the publishing market to drive additional synergies as we drive that content with other content sets we have across Clarivate. Really, same story with Derwent. It is still, at the high users of IP, kind of the most IP-intensive companies in the world, it's still the gold standard. But it is a not easy-to-use tool. It's clunky. And as a result, we've allowed some ankle biters to come in around the edges. We are very focused. I'm actually sitting in our Ann Arbor office today, and I was here in January with our new leader of that product, in particular. And he outlined the plan on how we're going to lift that product. So very focused on improving that.  So to come back, Toni, to kind of wrap around your question, we have to fix those products. We will fix those products. I feel very confident of the plans in place. At the same time, the investments we're making are not limited there because there are so many things we can do with AI and machine language to kind of combine different content sets. But that is certainly a core area of focus, those 2 products. Thank you.
Operator: The next question today comes from the line of Seth Weber from Wells Fargo Security.
Seth Weber: I wanted to just try to tie together some of the data points from the call this morning. So it sounds like first quarter organic revenue growth is going to be kind of around what fourth quarter looked like. So -- and then -- so what I'm trying to understand is to get to the full year guide, are you comfortable with kind of a fourth quarter exit rate close to 5% on an organic revenue growth basis just to get to your full year guide?
Jonathan Gear: Sure. Maybe I'll make a quick comment and then pass it off to JC here. I mean, Seth, the short answer is yes, that's how we view the budget. I would just remind you, we have some structural things built into the year-on-year comps with some very tough first year comps, particularly in Q1, but also a little bit Q2. And we have to fully lap the impact of both Russia, the Russia impact, as well as the impact of the macro environment on our trademark services. That makes it slightly tougher early in the year. It also makes it much easier second half of the year. So that's some of the structural, I'd say, derisk we have in the business. But Jonathan, do you want to add some additional color?
Jonathan Collins: Yes. The only other thing I'd highlight, Seth, is I think we'll definitely -- or we're anticipating exiting the year with a 4 handle. But as I mentioned in the comments, we'll give you more color on the quarterly phasing of the growth rate as we step through the rest of the year.
Seth Weber: Okay. And then just as a follow-up, can you just comment on the pricing environment, what you're seeing, whether from a competitive perspective or what your customers are willing to kind of tolerate at this point and how much is -- how that factors into your calculus for this year?
Jonathan Collins: Sure. That's always an important component of the subscription growth that we are projecting. Broadly speaking, we are seeing normal receptivity to sharing in the incremental value that we're creating within the products. A few moments ago, we gave the Web of Science example, but we have those examples of enhanced feature functionality, incremental new content being brought into the products. And those are being reasonably well received.  The one soft spot that we're keeping a very careful eye on is some of our international customers that are buying products that are priced in dollars. So certainly, the most recent move on the dollar has helped that, but that's something that we're carefully navigating with. For example, some of our A&G customers that have much greater budgetary pressures having to live within those means, we're working with them on some of those price increases. But broadly, I would say it's pretty positive, and we see that as being a good momentum moving into 2023.
Operator: The next question today comes from the line of Peter Christiansen from Citigroup.
Peter Christiansen: Jonathan Gear, Jonathan Collins, I was just hoping, at least qualitatively, you could provide us a sense of some of the components of growth for -- towards the outlook as it relates to pricing, cross-sell, volume, that -- those sort of elements.  And then just as a quick follow-up, Jonathan Collins, could you provide us with a sense of the pro forma trajectory for the ProQuest business and how that rounded out through the end of the year?
Jonathan Gear: Okay. Great. So I'll go ahead and tackle the first, Pete, and then pass it off to Jonathan. So in terms of the growth, it's fairly balanced. As Jonathan just mentioned in the previous question, price does continue to be an important component of our metric of growth. And so I think roughly about, I would say, 1/3 of the total growth, you could ascribe to price specifically. So the remaining 2/3 is from volume in total. And the volume, as you know, Pete, has many components. The first is making sure that the retention rate continues to improve. We did improve it in 2022, up a point, and that's significant for us. As you continue to notch stepping up through being closer to our customers, serving them better, making sure we're refreshing our products at appropriate rates so they're seeing the value, that's how you notch step retention.  The cross-sell, what I would call interest segment, is important for us, and we've now realigned the sales teams around this segment. And so they're just rolling out quarters right now. And they are very, very focused on making sure we have line of sight to the interest segment. Then the intersegment is also an important component. And in my scripts, I talked about a key win we had within IP services at a pharma company, a great example of how we kind of leveraged the broader footprint of the company across the different segments.  And then, of course, driving both volume and also new business and new logos, which, as you know, is a little less important for us, but still important in some of our segments, still important also in life science with a long tail of biotech. So it's all those of things that are kind of coming together to drive the underlying growth formula. Jonathan, do you want to add on a piece?
Jonathan Collins: Yes. And then, Peter, your question on ProQuest, it generally came in line with expectations last year. We do believe it's going to be a contributor to accelerating organic growth as it will be fully included in the organic growth calculation for 2023. I'll highlight one of the real exciting wins that Jonathan pointed to. The Singapore ILS win is a real positive. That will come online, big implementation product on that -- project on that in 2023 and will start moving into the subscription base towards the end of the year. That, combined with some of the improvements in Web of Science, should really help to put some wind in our sales within the A&G segment. So looking forward to that being included in the overall calculus for organic growth going forward.
Operator: The next question today comes from the line of Ashish Sabadra from RBC Capital Markets.
John Mazzoni: This is John filling for Ashish. Could you just quickly touch on the current selling environment? One of your large competitors saw some moderation in December with a lack of budget flush. And maybe if you could just hit on some of the kind of large pieces, especially with the transactional side as well.
Jonathan Gear: Sure. So maybe I'll give some color there, and then Jonathan can add anything that I missed. So I mean, it's not a great macro environment, and that certainly is the case, not to state the obvious. And as I mentioned earlier, John, as we built our budget, that budget assumes a not great macro environment. Now I think the news, when you look at our business overall, in this environment, we're still growing. We're still a highly resilient business model with must-have products and services, and that's reflected by the fact that we still grow even in these down markets. But while we are insulated from macro environments, we're certainly not immune. We're certainly not immune.  Now the specific areas I look at is kind of a couple of things. First, in Life Sciences & Healthcare, we have the transactions. Again, my experience of being 20 years in this business information industry, transaction is always a piece that can be pinged at a little bit. Consulting projects can be a little delayed. Market research reports can be put off for a quarter or 2, and we saw a bit of that in Q4. And we assume that will continue. We assume that will continue, and that's certainly in the plan that we've laid out.  We also say regionally, Europe is still feeling the impact of the Russian invasion of the Ukraine. You see it as governments there, in particular, have shifted dollars from areas we would normally be supporting into refugee support services. We see it in Africa, where governments have to shift dollars to support -- pay more for grain because they're no longer be able to import grain at the price from Ukraine, et cetera. So we see a little bit of that in Europe, just a tightening, a tightening of budget dollars there as governments are strained. But those are really the 2 areas that I would call out.  Now I will just -- as I wrap a bow around that, those are the 2 key areas. I'll just emphasize, John, the vast majority of our business, our IP, academic budgets, so on and so forth, our subs for Life Sciences & Healthcare aren't really impacted by these macro headwinds.
John Mazzoni: That's great color. Maybe just piggybacking on George's question, could you give us some more color on the subscription growth cadence in terms of the pacing and how we should kind of expect it to evolve in '23?
Jonathan Collins: Yes. I think that tends to be quite stable in our business, and that's our expectation through this year. Similar to last year, most of the changes from quarter-to-quarter are going to be manifested in the transactional business. And just as to reemphasize a couple of key points, we expect Life Science & Healthcare consulting to improve progressively through the year. There will be some timing impacts associated with our patent renewal business that we will build into the color that we provide on the quarterly cadence. We had some pull-aheads we helped our customers with to support the best economic outcome for them in their renewals. So that will have somewhat an impact.  But also, as we indicated, we do believe that the volatility of the transactional component of our Life Science & Healthcare products or data that we're delivering will improve this year as we're entering in the year with a much higher backlog than we started last year. So really encouraged by that. That should help to level it out a bit, but we'll continue to give you some color as we move through the year on what that's going to look like.
Operator: The next question today comes from the line of Stephanie Moore from Jefferies.
Stephanie Moore: I appreciate the color around the organic growth guidance and certainly the bottoms-up approach and clearly, the more visibility on the transactional side. Would love for you to maybe kind of talk through what would be the factors that would come into play that would ultimately get you to the -- maybe the low end or high end of the guidance, just trying to kind of put some guardrails around the dynamics that could have you fall kind of at either end.
Jonathan Gear: Sure. Sure. And it's something we often think about, as you can imagine. So the low end of the guidance, it would -- I'll take a step back. As I've said a few times, we have built in a tough macro environment into our guidance right now. Now -- so to go into the lower end of that range, it would have to be an incredibly bad macro environment. It would have to be some exogenous impact, particularly to our life science business. So a real, real meaningful and unexpected slowdown of our transactions there, that's what you would have to see to get to low end of that range.  The upper end of the range is a couple of things I would call out. I think, obviously, a little more health on -- I guess, a little bit of the opposite here. It would mean we were a little too conservative in our outlook on the macro environment, particularly with the transaction spend within Life Sciences & Healthcare. It speeds up a little bit faster. We do a bit better with our -- in A&G with our collections business there. That goes a little bit better than we expect. And those are probably the 2 big areas, I think, are swing. But Jonathan, do you want to add anything that I missed?
Jonathan Collins: No. I think you highlighted it. And obviously, as we move through the year, we'll be pushing for those additional opportunities to drive us to the higher end of the range, which are largely going to be on the transactional part of the business.
Operator: The final question today comes from the line of Shlomo Rosenbaum from Stifel.
Adam Parrington: This is Adam on for Shlomo. Can you talk about any of the recent impact on inflation throughout the business, any update from last quarter?
Jonathan Collins: Yes. I think we've mentioned before, about 3/4 of our operating expenses are people costs. It's just the nature of our business, largely employees but also contracted services. So as we moved through last year, that was a challenge for us that we managed carefully. Certainly, with very hot job market, higher-than-normal levels of attrition helped to address that. We plan for that to kind of settle into the guide that we've provided for this year. So certainly, that's a component of the organic profit conversion that we highlighted that, that component alone won't really deliver much margin expansion. So I think that's how we think about it from managing our internal costs. But we've got a pretty decent line into sight of what's going to happen this year, and we've got that embedded in our outlook for 2023.  And then I think we've talked before about the commercial impact of that. Certainly, it helps a little bit with the pricing conversations, and we saw some of the best price utilization we've ever seen as a company in 2022. We do expect some of that to carry into this year. But generally speaking, we've got that embedded in our outlook for 2023.
Adam Parrington: Okay. And what drove the significant improvement in DSOs in the quarter year-on-year? And how should we think about the quarterly pattern of working capital this year?
Jonathan Collins: Yes. I'm sorry, Adam, I didn't catch the first part. Could you say that again?
Adam Parrington: What drove the significant impact in AR DSOs in the quarter year-on-year? And how should we think about the quarterly pattern of working capital next year?
Jonathan Collins: Yes. So 2022 is our first full year of having ProQuest in our seasonal working capital. So I would say we have a decent line of sight into what that's going to look like. I expect that to be our new normal. Late in the year, we saw a little bit of pressure on timing of payments, which caused a slightly higher working capital use than we were anticipating. I think that's going to balance out. I think we've got a little bit of opportunity to recapture some of that in 2023, but we'll continue to provide more color on that as we move through the year. Thanks, Adam.
Jonathan Gear: Great. And I think with that, we'll go ahead and wrap. So everyone, thank you so much for joining our call this morning. We really enjoy sharing both our results from '22 as well as our outlook for '23. And again, we really encourage and invite all of you to join us at our Investor Day next Thursday, March 9, in New York City. Look forward there to really sharing our outlook and growth plan for the next few years as we continue to accelerate growth across Clarivate. Thank you so much, everyone.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.